Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Quanterix Corporation, Q4 2021 Earnings Call. At this time all participants are in a listen-only mode. After the speaker's presentation there will be a question and answer session. [Operator Instructions].  I would now like to hand the conference over to your speaker for today, Mike Doyle. Please go ahead.
Mike Doyle: Thanks very much. Good morning, everyone. And thanks for joining us today. With me on today's call is Kevin Hrusovsky, our Chairman and CEO and Masoud Toloue, our President.  Before we begin, I'd like to remind you about a few things. Call will be recorded and will be available on the Investor resources section of our website. Today's call will contain forward-looking statements that are based on Management's beliefs and assumptions and on information available as of the date of this call, we may not actually achieve the plans, intentions or expectations disclose in our forward-looking statements.  Forward-looking statements involve known and unknown risks, uncertainties, assumptions, and other factors that may cause our actual results, performance or achievements to be materially different from any future results. Performance or achievements expressed or implied by the forward-looking statements. The risks and uncertainties that we face are described in our most recent filings with the Securities and Exchange Commission.  During today's conference call, we will discuss some financial measures that are not presented in accordance with the U.S. Generally Accepted Accounting Principles or non-GAAP financial measures. In the Q4 earnings release and in the appendix or presentation, which are available on our website, you will find additional disclosures regarding these non-GAAP measures including reconciliations of these measures to comparative GAAP measures. We believe that these non-GAAP financial measures provide investors with relevant period to period comparison of our operations. These financial measures are not recognized under GAAP and should not be considered in isolation or as a substitute for a measure of financial performance prepared in accordance with GAAP.  With that, I will turn the call over to Kevin. 
Kevin Hrusovsky: Thank you very much, Mike. Looking forward to today's call, we have a very full agenda. We're going to start by describing a really exciting opportunity where we're going to be further expanding our leadership with Masoud going to be taking the CEO role from me starting on April 25. So this is just an announcement to let you know that this is a very orderly plan that we're going to be rolling out over the next month and a half.  But with that, after we talk through the transition, I'd like to go through our very significantly positive full year results and Q4 results for 2021. The major announcement this morning on our collaboration with Eli Lilly, which I think is a seminal announcement that has been a major focus for our company for the last several years.  Also like to describe the neuro diagnostic therapy of evolution, it's a concept that we laid out and rolled out about a year ago and it's moving very productively along and close off with just the precision health proteomics, the role that we're playing, and the role that we think we're going to be able to play over the next several years. And then Mike, I was going to ask you to do financial results. And then I'll close with just finalizing some of the compelling dimensions of our current equity.  So Masoud, really excited to have you evolved, you and I met each other a couple years ago. And I just really believe that you have all the capability. And we you and I've been together kind of non-stop for the last year. It's really excited for you to evolve into the CEO role and give me a chance to continue evolving strategically at a pretty important moment for our company, as the Executive Chairman of the Board, and focusing and obviously advising and working closely with you Masoud. But also working on some of the more important strategic initiatives that we see coming over the next year or so.   Now with that Masoud, would you like to make some comments?
Masoud Toloue: Thanks, Kevin, for the kind words. I want to thank you and the Board for this incredible opportunity to lead Quanterix in this next phase of growth. Kevin and I've been discussing this moment, since he recruited me and I joined last year. I've had the privilege to be mentored by a pioneer in the field of proteomics and be part of such an incredible group of people here at Quanterix, with a precision health mission continues to be a guiding principle.  I look forward to continuing to work with Kevin as the Executive Chair, our Board. And I'm looking forward to speaking further with our employees, customers and investors to provide updates on our success and growth on the future calls.  So with that, I'll hand it back to you, Kevin, to discuss the earnings results.
Kevin Hrusovsky: Excellent. Thanks so much Masoud. And this is going to be a really great next chapter. Hey, but just in way of summary, looking back at 2021 on Slide five. We did say we would have this 30 to 40% CAGR based on a strong 2019. And we continue to progress very productively, you'll see that our product growth, actually in 2021 was 84% year on year. Getting the breakthrough device designation that was really key for Alzheimer's, for diagnostic and triaging with the pTau-181. That occurred several months ago, and really is a way for future differentiation of our technology. The number of publications, is truly amazing. We're getting more than one a day 465 of them in 2021. And now we're close to 1600 publications, third-party have given us a lot of validation, our instrument growth is a key leading indicator and we were able to grow at 32%.  More importantly, got a lot of the HD-Xs into the installed base, which has a greater pull through and throughput. And then the traditional HD-1. What we've done with Lilly is obviously game changing. But also, there's advances with other pharmas, including Biogen, who's now presented data showing our pTau-181. And its correlation too many dimensions of Alzheimer's, even a four cognitive score. So we're pretty excited about a very low cost scalable, blood base technology being able to provide this kind of correlation.  We did raise $287 million, also in '21, with a balance sheet of nearly $400 million in the Q4. And we looked at a crossover for RUO business fourth quarter '23. So we've really been improving our growth much faster than our OpEx percentage, allowing us to really start shifting towards a value opportunity longer term.  We've been talking a lot about 100x sensitivity, and we do believe that it was demonstrated in the field in 2021, over with Henrik Zetterberg, one of the pioneers in the neuro research landscape. He's a neurologist, they had the very strong team over there. And we do plan to have that in our offering and accelerator by year end.  In summary, if you look at the next slide, our 84% growth for product revenue, our overall RUO growth was 50 plus percent. Our gross margins went up another 600 basis points from 49 to 55. And our productivity, as we mentioned continuing to improve on our OpEx.  Since the IPO I should tell you it's been up four years now. And since that time, we've been growing our product at an annual rate of 55%. And our RUO revenue growth, this four-year period was about 47%. Our margin expansion has been averaging about 300 basis points a year, we've increased it from up to 1200 basis points 44% to 56% over that time period. And productivity has improved. As we pointed out on our OpEx from 157% down to 111% for RUO. That's the percent of revenue. So that's a really good sign that we're continuing to create the leverage that the business needs to demonstrate.  The next Slide that shows the Q4 results. You can see the 36% growth overall. We also believe that the record consumable growth was quite amazing at 100%. And we also did put 211 instruments into the field this past year, which again is an incredible achievement. And on overall level Q4 that 36% growth also represents a two-year CAGR of 36%.  But most importantly, when you look over at the components, we knew going into the year that this was going to be a product year and 2021 accelerator had grown very rapidly the previous year. But we now know that in 2021, it stayed pretty flat, which we expected after that strong growth in '20. And we do think going forward, we're going to start to see stronger growth and accelerator or at least for the next year versus products just because of some of the catch up some of the COVID dimensions through the business. And what we think is a really game changing deal with Lilly that does bring a lot of revenue into the 2022 accelerator.  We'd also like to just say that overall growth has been about 48% since the IPO, and this is something that we do feel with this higher base, we're going to continue to grow it. Mike will give more dimensions on our strong Q4 as well as our 2021, in a few minutes. When you look at the overall distribution, our geography, we still have a very strong North America presence. Our growth was actually strongest in North America this past year, probably with all the breakthrough designation, a lot of the COVID work that also then led into us getting EUA is for COVID, that then led into the Alzheimer's opportunity once added homeless proved earlier in the year, it created a lot of interest from our other pharma customers, looking at Alzheimer's drugs. Our customers today continue to be 50-50 between farm and academic. And we do think that that's a pretty good place, we get a lot of pull through for publications from academia. And then when we look at the overall growth into disease categories, we continue to have a very strong position in neuro. And we also, as we pointed out had a very strong consumables growth in 2021.  This next Slide basically illustrates that a lot of our focus is taking what we're doing in the hiring precision health ecosystem, that has all the top thought leaders includes investors who are actually helping us sell a lot of our technologies to pharmas that have neural pipelines, and they're trying to get those drugs approved for their valuations on those stocks. They help us by calling those neuro customers up. And I'll show a letter that we recently sent to the AD companies that are running 300 different drug trials in Alzheimer's and the role we can play for them.  But we're also linking together on not just the pharma relationship, but also the payers. And we mentioned in 2021, United Health Group has used our technology. And then the FDA and the NIH are very strong partners now, given the EUA advances, and now the Alzheimer breakthrough designation for 181.  Getting samples and publications from the ecosystem has been a big piece of us being able to evolve very efficiently at low cost. And we think this will continue to serve us very well moving forward.  And now summarizing what we think is one of the most important advances, because what we've achieved with Lilly, we think we'll also further spur on and catalyze the similar relationships with other pharma customers. But we were able to license the marquis antibody P-tau217 from P-tau217 from Lilly that will initially put into our you owe in the near term, and longer term have the ability to move it into IBD.  They're also going to fund $11 million in 2022 on accelerator services, not only for neuro, but the overall framework of the collaboration expands and extends into broader categories. And you can see at the top of the Slide 12, there's a lot of advances this past year in the Alzheimer landscape between Lily and the AAIC many customers presenting and then our breakthrough designation. And then now, the advances that we're having with 217 and a data that that Lily has continues to have a lot of correlation between slowing down disease progression, with a P-tau217. So RUO interested to continue that that collaboration.  Slide 13, now just shifts back to what we've been showing for quite a while we know that Abbott Roche and Siemens are three companies that are measuring about 200 plus proteins, and collecting about 25 billion annually, most of what they measure using immuno assays are based on patients that already have symptoms. And a lot of our advanced here is looking at sensitivities that are 1000s of potentially 100,000 times greater expands the field we believe of proteins that are highly relevant, that allows you to see disease, we believe earlier, less invasively.  And that is an overall opportunity that was shown on Slide 13. It significantly increases the TAM of this overall landscape by seeing disease before symptoms. We believe we could significantly improve outcomes and the sensitivity not only allows in case of neuro to see it before symptoms, but also to see it less invasively in blood and that allows the scalability of a low cost opportunity for the payers to build to track the progress of the drug.  And so we believe that COVID has further expanded the interest and homecare sampling. And so the lesser invasive sampling that can see disease before symptoms, longer term we think, will play a role in diagnostics as well as in the strong RUO opportunity. And the more we do in diagnostics, symbiotically, the more we think it'll create interest in pharma for drug trials using our technology.  Slide 17 just basically shows the three categories discovery where many of the new entrants and proteomics has been playing some illogical links here, very good companies creating a lot of interest around large multiplex panels, and Quanterix is playing in the translation more in what we would call the 10-plex and less, and then translate that ultimately into diagnostics is the overall goal that we see.  And again, we think 10-plex and less is going to yield a lot of value because today, that 25 billion that's being collected from Abbott, Roshan Siemens, on running immuno assays, they're all single plex to give you a sense of how valuable those proteins are in that category.  The next slide just shows you our rapid ascent over the last several years starting in neuro and research, we started there and then we advanced into doing the antigen and serology tests for COVID as part of our pivot and research, and then that allowed us to cross over into diagnostics, and getting to EUAs for both antigen and serology instant label claim expansions.  Taking that infrastructural build, the NIH $20 million of investment to try to further build out our diagnostics capability, hiring Masoud who had a lot of diagnostic experience. Building a team of dedicated to Alzheimer's, work as well as diagnostics. And filling out a team, this is now our focus of an ability to do both RUO and diagnostics with a focus on Alzheimer's.  And the P-taus, are the primary area of this interest. And interestingly, we started off thinking that NFL and MS would be our primary focus for diagnostics. But with the COVID, that did shift the priority of the FDA, we still believe that this is a very important area. In fact, in 2022 drugs from Novartis and Roche were approved using our NFL as an endpoint. So we do believe that MS and NFL still has a great role. And we're planning to use LBT entry for not only Alzheimer's, but also MS.  And so this is a key to our future focus. And, slide 25 just showed the publications to biomarkers and a number of instruments that we've placed. And 26 shows this overall menu net we now have for neurology across Alzheimer's, Parkinson's, ALS, MS, and even concussion. And most of these customers in the industry are now utilizing our technology and the neural field continues to expand very rapidly with a lot of investment. There's the number of trials, in all phases that have been initiated interventional trials and neurodegeneration has gone from less than 100 in 2016, over 1500, in 2021.  And even the amount of spending by the NIH has significantly increased from about 6% of their spend up to nearly 10%. And that overall spend has gone up as well. So we do see worldwide, a very strong focus on the neuro landscape. And many of the farm and diagnostic companies have great antibody technology as evidenced by Lilly, and what's just occurred in many of these companies are playing in both pharmaceutical and diagnostics.  And a lot of the focus we're having on the brain, many of these new biomarkers is this neuro diagnostic therapy where you have to apply to therapy early in the disease cascade many times before symptoms to create the potential for greater outcomes. And those greater outcomes, we think increases the probability of drug approvals, and potentially it allows you to use less toxic dosing levels because you're getting to the disease when it's still very early in its pathology. In an area of Alzheimer's. We look at the size of the TAM for research being less than a $0.5 billion. But the TAM, if you could break across into diagnostics could be 20 times that side, at $11 billion. And so we're looking at just a 10% share of each of those two markets. It's 50 million for the research side, it's $1 billion of revenue for a 10% position of the larger TAM for doing what we recall drug screens and diagnostics for Alzheimer's has been a significant global opportunity.  And so this slide 35 is just us showing a letter that we sent to the top AV customer are running 300 pharma trials right now on Alzheimer's and we tried to lay out what we can do for them with the breakthrough designation, we can do clinical discrimination better, we can actually, with 181 stratify out lewy bodies, and frontal temporal dementia increasing and enhancing the cohort fertility for approvals. And that increase in fertility improves the probability of a drug being approved significantly. And it significantly can reduce the recruiting trials for patients by using blood versus PET scans or spinal taps.  So overall, what we did with that MS with Roche and Novartis, with NFL is now looking like it's got real potential for Alzheimer's using these pTau, and also NFL and [indiscernible]. And so we're working very closely. Any investors that have positions in companies have neural and Alzheimer pipeline trials going on, we would encourage you to help us further educate those pharmas to utilizing our technology. Because we do see, as we talked earlier, a very significant opportunity to be symbiotically both in RUO and diagnostics in the neuro field, with these TAMs being the size they are.  I'm going to close by just saying we laid out last time, the last few times, we've talked about three steps that we're taking to move into diagnostics. The first is LDT, the second is single site IBD based on the breakthrough designation. And then the third could be at some point distributed IBD. We either go direct, and we show investment levels where we partner. And this is a key to the future of our strategy is trying to go direct keeping the value in our company.  But there's a lot of partnerships have been established already with Abbott and Siemens on the distributed IBD. But also, we believe that some of the CROs could play a role with us in LDT labs reference labs, in the earlier stages if we can't get sufficient worldwide capacities to support the opportunity we see in these different neurodegenerative disease areas.  And so with that, I'm going to close by just finalizing our objectives for 2022. Starting with something that we have never done before, in Quanterix, we're going to provide guidance. And we know this is the first time we're providing guidance. And so we do want to make sure we stay very conservative. And I have a track record in our company that has a track record for many, many years of different companies of trying to stay conservative on our guidance and given the geopolitical forces that are out there right now plus COVID. Who knows if there'll be any kind of relapse, there's concerns potentially around inflation and supply chain, we want to make sure we stay conservative.  So our midpoint does show 22% which is above consensus. And so we wanted to make sure we laid out a guidance that's above consensus but stayed conservative. And significantly we believe the Lilly deal derisks this guidance in a very formidable way. And that's a lot of what we wanted to deliver in 2022 is we're also going through the leadership transitions.  We also waive the neural LDT validation for P-tau and for NFL for MS will occur. This year, we also are going to start an Alzheimer's clinical trial for P-tau181, and other AD markers, potentially in a panel. We want to scale and grow our RUO business, as diagnostic entry increases our differentiation as we mentioned and consider these P-tau even in panels that we've now got the license to the 217 from Lilly. We want to expand our pharma partnerships similar find other Lilly like deals that we think we're very well poised and positioned for over the next several years. And we do want to continue to expand the Plex city with our sensitivity. So we are looking by 2024 of getting to 20 Plex, with various technology expansions, keeping the sensitivity or even further improving it and then to utilize this greater Plex primarily in our [indiscernible] to land other markers and LDT and single site IBD penetration. The 100x that we've talked a lot about that we demonstrated in the field, we will by year end, put that into accelerator.  Mike Doyle, we'd like to now turn it over to you for financial discussion.
Mike Doyle: Thanks very much, Kevin. I'm going to provide some additional financial details about our fourth quarter of 2021 performance. And for your reference for those fallen on the call. I'll be on slide 39.  As Kevin noted, our GAAP revenue in the fourth quarter of 2021 was $30.3 million and included $1 million of revenue from our RADx awards. RADx award is now complete as of 12 31 '21.  Excluding this non-recurring item. Our non-GAAP fourth quarter 2021 revenue was $29.3 million a 36% increase versus the prior year fourth quarter non-GAAP revenue. Once again, we had record product revenue in the fourth quarter of $23.5 million an increase of 49% versus fourth quarter of 2020.  Within Product revenue consumables revenue grew 66% in the fourth quarter, versus the prior year fourth quarter to a record of $16.8 million driven by strong demand for P-tau181. P-tau217 and our neuro multiplex assays.  Like Q3 our service revenue performance in Q4 may include some recovery of previously deferred demand due to the pandemic as customers return to more normal operations. Fourth quarter of 2021 service revenue increased 3% versus the prior year fourth quarter to $5.7 million. 2020 was a strong year for services revenue as one-time COVID related activities, lab closures, and drove increased activity to our accelerator lab.  Full year 2021 company revenues were $110.6 million. Excluding revenue from our non-recurring RADx awards, non-GAAP total revenues were $105.3 million a 53% increase from 2020 non-GAAP revenue. Customer activity has returned to pre COVID levels, but a potential spread of new variants could force renewed lock downs. In addition, global uncertainty with rising inflation the war in Ukraine could potentially impact our 2021 performance -- 2022 performance I'm sorry.  On a GAAP basis our Q4 gross margin was 53.7% compared to 57.6% in the fourth quarter of 2020. During the fourth quarter, we scrapped COVID related inventory we had built in the beginning of '21 based on anticipated need, as well as writing off older array our equipment. Our fourth quarter 2020 GAAP gross margin was positively impact by revenue my RADx awards, a $4.5 million as compared to 1 million of revenue from RADx awards during q4 2021, as the project finished up.  A non-GAAP gross margin was 53.5% in the fourth quarter of '21, which is an approximately 270 basis point improvement compared to non-GAAP gross margin of 50.8% in the same quarter of last year.  Non-GAAP gross margin was 55.4% for the full year 2021 period, and as an approximate 620 basis point improvement from non-GAAP gross margin in the same period of 2020. Our non-GAAP gross margin excludes the impact of our RADx awards. The 2021 one-time licensee from Abbott a non-cash acquisition related purchase accounting adjustments relating to our 2019 acquisition of Oman. We believe this provides investors with the relevant peer to peer comparison for our operations.  Gross Margin expansions are driven by volume, particularly in consumables productivity gains and pricing. GAAP operating expenses total $36.2 million in the fourth quarter of 2021. Non-GAAP operating expenses, which primarily exclude non-recurring expenses associated with RADx grant revenues totaled $36 point 1 million for the fourth quarter of 2021, an increase of 13 and a half million versus non-GAAP operating expenses in the fourth quarter of 2020.  Major expense drivers were volume related activity, personnel increases outside services and laboratory expansion as we scaled the organization and invest in process improvements.  During the fourth quarter of 2021, our cash balance decreased by $13.4 million ending unrestricted cash balance of $396.5 million at December 31 2021. And basic weighted average shares outstanding for EPS totaled $36.7 million for the fourth quarter 2021 period. Overall, we're pleased with our fourth quarter and full year 2021 performance and the progress made on our strategic priorities and we remain committed to delivering solid 2022 results in line with expectations.  With that, I'll turn it back to Kevin.
Kevin Hrusovsky: Thanks a lot, Mike. And I'd like to close by just summarizing that. We do believe there is a very strong two to three times value creation opportunity to low risk RUO side of our business. But we also believe there's a 10 to 15 times value creation opportunity as we traverse and symbiotically move into diagnostics. And so we don't believe that the diagnostics is something that you should be buying our company based on however, we think that there's plenty of value opportunity and the more we do in diagnostics, the more we're going to build doing RUO with differentiation because the RUO opportunity with pharma when they see us in diagnostics and having a way to the clinic and to try to get to payers to help Support drug reimbursement.  This further causes him to want to standardize on our technology. And so having the unrivaled sensitivity has been key and having this very methodical market penetration strategy in RUO, we believe has been key. And we now believe -- we believe that proteomics brings so much more value than only DNA and RNA alone. And so the validation having 22 of the top 25 pharmas using our technology over 1000 drug trials and having that PPH ecosystem with over 1500 peer review pubs give strong validation. And so continuing to penetrate with a razor blade approach, we mentioned the consumables grew nearly 100% in 2021.  We do think that this is a low risk opportunity for good solid returns. And there's an incredible track record with the Management team, with Masoud now coming in with his great track record and experience coupled with a highly experienced Board. We feel really well positioned for the future value creation for investors.  With that, we'd like to use the second half of this call the remaining 30 minutes to discuss questions.
Operator: [Operator Instructions] Our first question comes from the line of Kyle Nixon of Canaccord. Your line is open.
Kyle Nixon : Thanks. Hey, guys, thanks for taking the questions. And obviously, congratulations to Masoud and Kevin, you two good, sad to see you go. But looking forward to the future. So congratulations on that.  I just wanted to start on the guidance. Great that you're going to be providing that now. Maybe you could just talk about like the mix between instruments and consumables for the year for the RUO business. And then I also want to understand if this includes the $11 million and accelerated revenue, and I guess pharma trial revenue from Lilly. And I wanted to just mention that without Lilly, that was only 11% growth year over year. So we just want to get a clarification.  And then finally, are you expecting any incremental revenue from diagnostics in '22? Obviously, you have LDT validation, possibly, but that's not going to be included in this revenue guide. But just want to kind of walk through those factors, if you could. Thanks a lot. 
Kevin Hrusovsky: Sure. Thanks Kyle. And I'll start off by saying you said, I'm sorry to see you go, appreciate your comments. I'm not going, I'm just evolving into a different capacity role. So I do want to just reinforce that. Masoud and I've been working very closely together for quite a while here. And so it's a tag team approach it just were I call this an additive approach to governance, so that we can continue to evolve the ecosystem, the PPH ecosystem, as well as the strategic opportunities while Masoud takes over complete operational control. And we know that that's something that will allow us to continue to really ascend in growth.  And you're right on the guidance. First time we've guided so we definitely wanted to guide conservatively. But we definitely also wanted to show that were higher than consensus. So we definitely wanted to guide in a way that says we're growing -- we believe we're going to grow faster than the current consensus.  But to your point, yes, the Lilly revenue of $11 million in 2022. A way to look at that, Kyle, we have a track record for really delivering, but not over promising. And so given this as our first guidance, we have a little bit larger range, plus we are very conservative. And we know there's a lot of geopolitical forces out there as well as COVID still has some uncertainties. And so we wanted to guide in a way that would suggest conservatism, but at the same time, we want to make sure that you see that there is an upper into the range and opportunities for us to outperform. And as time goes on throughout the year, if we outperform we certainly will or we see the future outperformance opportunity, we're going to be changing the guidance accordingly.  So RUO does have the Lilly in it. It's significantly de risked, obviously, our current guide and when you look at the different types of categories, whether it be instruments and consumables being our product categories or accelerator. As I mentioned earlier, we think accelerator did not really grow in 2021, that grew 80 plus percent, I believe in 2020. So we had a very strong copier due to COVID. And a lot of lab shutdowns people use our accelerator. We do think our growth will be greatest likely in accelerator this year, based on what we would call an attractive complex a lot of work.  We brought Masoud Toloue and initially to focus on the accelerator, we brought some very talented peoples and individuals and leaders in through the accelerator group continued to invest, and limbs and a lot of the infrastructure for growing that part of our business because it also plays a strategic role as an LBT lab. So we're looking at the accelerator is a key part of the future investment in growth.  So I would not be surprised. It'll grow the quickest. And I would think that you'll start, you'll still see good strong instrument, and consumable growth. But I would predict accelerate will be the fastest in 2022. Hopefully that gives you the answer to your question.
Kyle Nixon : Yes, that was great. Thanks, Kevin. And thanks for the clarification earlier. Just moving on kind of pivoting a little bit. So you have obviously 200 million in cash. Just kind of wondering, you have this kind of dry powder. How are you thinking about investing strategically versus organically? And you have these partnerships with them? We haven't seen that. It sounds like you're not done there yet, though. Could you are you thinking about taking pause on this new collaborations? Or are you still kind of interested in partnering with some of the pharma companies or maybe leading IBD companies as well?
Kevin Hrusovsky: Yes, there's no question that our balance sheet is strong. And we've had, I think, we've raised over $700 million, from the time I joined, and each of them have been very strong up rounds. And we continue to feel like that kind of war chest of balance sheet is going to be very carefully deployed, because you can also see a lot of focus on our OpEx productivity to make sure we're not one of these companies that's growing OpEx faster than revenue. And there's a lot of companies in our sector, by the way, that have been growing OpEx much quicker than revenue.  And for the last four or five years, we've grown our revenues significantly faster than our OpEx. And so we're going to be very careful with that war chest. And I would say that we see crossover in late 2023, for the RUO business on cash flow basis. So we don't really need the level of cash for our operations that we have.  But we will continue to look strategically, we have acquired two companies, they were low investment, one of them was the NFL company UmanDiagnostics. And I do think that our focus right now is building out the laboratory capability for LDT, and potentially single site IBD. And so will some of our funds be utilized with creative, innovative acquisitions in that landscape, potentially.  But I would say that acquisitions is not something we see in the short term. And we'll be very judicious with that, like we've done in the past. So I do think you will see us continuing to partner. We do feel Siemens and Abbott are great partners. We think there's other partnership opportunities. We do think that that's more for distributed IBD. And so our first ways of penetrating diagnostics will be LDT, and single site IBD. So there are partnership possibilities. There are two of Abbott, I'm sorry, with LabCorp Quest and Mayo Clinic, there's a lot of installed base capability already in place. So we'll be looking, obviously, to see if we can evolve in our accelerator lab. But partnerships will also continue to play a role for us.
Kyle Nixon : That was great. If I could just ask one really quick follow-up on your confirmation. The analyzer with the 100x sensitivity without eventually going to have the 20 Plex capability like after 2024. Or is it going to have the current kind of multiplexing capability of I guess, 10 Plex or so? And then also, Kevin I just want to ask you if you think that 20 Plex is enough for discovery applications. Thanks.
Kevin Hrusovsky: Yes. And still hear me here. I want to say first, the Plex, initially 400x will not be greater than our current Plex. But we never rule out the potential that whatever we do with 20, Plex could ultimately have advances and sensitivity, similar to what we're planning for our base technology today. Do we need greater than 20 Plex for RUO? We don't think that we do right now. Our view is that there's a lot of good lot strong players in Olink and Semi Logic and others upstream. We do think that this is an important area for discovery that these companies identify proteins that we then want to go seamlessly into our technology and antibodies and the correlation with antibodies is also key and core. Some of our antibodies that we utilize are utilized by these discovery partners upstream. So we think 20 Plex will be more than enough for translational purposes, as well as diagnostics will probably not even require 20 Plex, we think that most of today's is single Plex. And so we probably will see some level of plexity. We think in the area of Alzheimer's, a four or five Plex could significantly increase the area under the curve, both for those that can see dementia today, as well as those that are pre dementia in the future.  And Masoud you might want to make some comments here, too, if you're on the by the phone, around the concepts of diagnostic and increasing the area under the curve by bringing in more than a single Plex.
Masoud Toloue: Thanks, Kevin. And thanks for the words, Kyle. When I think of the diagnostics opportunity, as Kevin mentioned, when you look at single Plex, there's a large, obviously screening opportunity. When you look at one or two biomarkers, and then when you begin to start to put a few biomarkers together, two, three, four or five, you begin to improve area under the curve and ability to create something that could eventually what we believe replace imaging in the future as a true diagnostic test.  So, do we have the Plex to be able to do that? Yes. Is this a great discovery tool as a tool as well? Absolutely. But we think we're well prepared, both on the single and then the multiplex. 
Kyle Nixon : Great, makes sense. Thanks a lot, guys. And congrats again.
Operator: Thank you. Next question comes from the line of Tycho Petersen of JP Morgan. Sir your line is open.
Unidentified Analyst : Hi, this is Mylan on for Tycho. I just want to dig in a little bit into the central changes in the neurology landscape. Have you seen any potential changes in regards to research interest after the changes in the reimbursement landscape for Alzheimer's drugs? Thanks. 
Kevin Hrusovsky: Yes, absolutely. I would say that this is something that we've talked a lot about in previous webcasts, and we've had some podcast to some of the leaders in the field. And I think that the concern around getting reimbursement for ADUHELM has further enlightened the fact that PET scans and spinal taps are an incredibly costly and invasive way to diagnose Alzheimer's. And if you're a payer, and you want to ensure that the drug is having the appropriate effect. It's hard to have a longitudinal efficient approach using PET scans, MRIs, or spinal taps.  And so having a blood based approach is something that CMS has actually already commented on. And we believe is going to be a very important part of the future of not just neuro, but all fields is to track whether a drug is having appropriate efficacy using biomarkers, so that if a patient is not benefiting from the drug, you can get them off of that drug very quickly, because there's normally a lot of lethal side effects to many of these drugs.  And so it's not only a benefit of cost improvement, but it could even be patient life extension by getting someone off a drug that's not working. And many times in oncology, these drugs only work 10% of the time. And so there's a lot of pain going on today for inefficient and even potentially lethal immunotherapies that could trigger a cytokine storm.  And then there's questions too, in the cardiac field, even around things like, cholesterol in the statins, paying a trillion dollars for cholesterol reduction, what role is it really playing in heart health, and that correlates of benefits.  So I do think that there's a lot of new questions that's been raised. And the more we can link our blood biomarkers to actual clinical benefit to the patient. And in Delaine dementia or reducing it, we think that this is a key to the future of how reimbursements going to work. So I do think the field is been awakened by ADUHELM not getting initial approval for reimbursement. 
Unidentified Analyst : Awesome, and just in relation to the $11 million. Just digging into that a little bit more from Lilly, how do you think about potential for recurrence for multiple years there and kind of how do you think about possibly projecting any possible revenue from that?
Kevin Hrusovsky: Yes, in general, Mylan, I think that it's really important to establish that we see Lilly as a leader in the field that really started using biomarkers with us seven years ago. So they've really spent a lot of time investing. As we mentioned, previously, they bought a lot more HD access, so they're doing a lot in house. But then there's also role a role for services.  And so we actually think it's a model relationship, where we do believe other pharmas will benefit by having a very strong relationship, both with install base instruments, as well as accelerators services, to find biomarkers that are linked to their drugs either help with endpoints, or help with recruitment.  And we can significantly improve efficiency of drug trials with those two categories. And then ultimately, we think the pharma benefits if the payers like UnitedHealth Group and others utilize the technology and can see there are benefits for screening, early access to patients with the pathology, utilizing the drug and then using the biomarkers, and the test to monitor whether the drug is working.  So we see a very powerful vision here, that will evolve over the next several years. And 11 million is an example of what's possible in the accelerator when you have a very strategic customer like a Lilly. And we do think that there's absolutely potential for that to continue in future years, because the new collaborative agreement is a framework that allows for all the disease categories.  And as you know, Lily is very prominent, not only in neuro, but also in oncology and other categories. So we're very excited about the framework of this type of agreement. And then the license that we got from P-tau217, we know there's a lot of pharmas that are very interested in 217. And so what's really encouraging about that relationship is we're going to be able to deploy that 217, once it's an RUO product that we launched to other pharmas and to help the overall field of Alzheimer's and I give Lilly a lot of credit for giving us that access, and given us the potential to move the field the whole field forward in the area of Alzheimer's. 
Unidentified Analyst : Awesome, thanks so much. 
Operator: Thank you. Next question comes from line of Puneet Souda of SVB Leerink. Your line is open.
Puneet Souda : Yes. Hi, Kevin, Masoud , thanks for taking the questions. So first of all, Kevin, really appreciate your leadership here over the years and all the work you've done in neurology, proteomics, and Quanterix, and driving Quanterix to what it is today. And congratulations, Masoud. I really look forward to working with you being on -- in the seat now. So thanks again, guys for that update. Maybe if I could touch on, if you could take a step back here, and maybe paint a picture of the business sort of going forward? How should we think about the portfolio of Quanterix and its operating profile? You're obviously strong and biopharma academics, and now diagnostic customers that are emerging on the horizon?  So, you know, I believe that sort of the question from investors that we frequently get is, how do you plan to balance the core instrumentation and consumables growth, and focusing on that part of the business while driving the diagnostics and the Alzheimer's and the neurology opportunities that you have, because the company has traditionally not focused on diagnostic product launches, per se. And traditionally, we have seen that in research tools, companies that are emerging into diagnostic that takes some time for that to work and find success.  So wanted to maybe get your thoughts on, how should we imagine Quanterix a few years from now, maybe, if you can talk about that vision going forward?
Kevin Hrusovsky: Absolutely. And Masoud, I'm going to make a few comments and it'd be great for you to follow up, you’ve been an incredible partner over the last, six years or so. And I want to thank you for all that you do for our company and in our in our overall understanding out there in the marketplace. But you hit it right on the head. We are moving strategically and evolving strategically.  And that's actually a lot of what this move is intended to do between Masoud and I is that we do see incredible opportunity for a higher level strategic approach here, and we've been articulating that vision for quite a while, and you saw moves in 2021, to bring Masoud in, who had a diagnostic experience and dedicate some of our top leadership in our company through diagnostics. Because of what we see as the future opportunity, we've continued to stay very conservative however, and say, you don't need to, buy us for what you think we're going to be able to do and diagnostics.  Bias, for what we know we have a very strong position to achieve in RUO, there's plenty of value creation there. And what we're going to do in diagnostics is we're going to be very conservative, but we believe that pharma relationships can play a big role in helping us capital efficiently get into diagnostics, particularly by going into neuro where many of these drugs couldn't get approved. Without, some level of our approach and technological approach, which we're starting to see play out now.  And in the area of Alzheimer's, there hasn't been any approved drugs. And so pharma really wants to invite us in. And they benefit by having payers have tools that are scalable, low costs, like blood biomarker testing. So we look at our product sales being primarily RUO in 2022, and '23, we look at accelerator being an area where the strategy is going to play out, we're going to continue RUO relationships like we have at Lilly.  But we're going to also be devising some of that investment and accelerator into LBT and single site IBD. Even with the pharmas who can benefit, particularly a neuro by having us equipped to play a role and LBT and a single site IBD to help them get support for payers, for their drugs.  And so in the end, our payer relationships, we think are the ones that are creating the most value opportunity, because the pharmas really want to get reimbursement for the drugs, and they need to have an efficient way to interact with the payers to achieve that. So we believe that the pharma companies have a mutually aligned motivation with us to advance this field with CMS and others, the biomarker field, so I would expect it three years from now, you'll start to see the beginnings of diagnostic revenue, either from LDT or single site IBD.  And we laid out those timelines and stayed very conservative with them with the levels of investment that we also think, are not quite that high, given the level of relationship we have with pharma. But you should continue to see the RUO growth, with product sales and with what we do in accelerator for the next three years, as well. So I do think you'll start to see both revenue streams in those outbound years. But it's going to take time to get there. And we're being very careful.  And I would think you'll start, you'll still see us continue to hire some of the best in the world, in the diagnostics landscape, because of that opportunity, like we've done with Masoud and some of the dedicated leadership that we've now have in diagnostics.  Masoud, do you have any additional color?
Masoud Toloue: Yes, thanks, Devin. And thanks for the kind words, Puneet. So that I think first I would say that Kevin's been instrumental from both vision and execution and getting us to what you describe as an excellent position both in pharma, RUO academia, and now in this new front of diagnostics.  And, again, echoing what Kevin said, I think the way you look at that transition is through the transition from RUO into getting into diagnostics is exactly through our CLIA lab, our accelerator lab. And as Kevin mentioned, LDT and single site IBD, which will be our kind of first foray into sort of diagnostics based testing. But we continue to focus and have a strong position in the research space with pharma. Because that's, frankly, what's happening in the neuro field. A lot of work and research is being done in this new emerging area. Hope that answered the question.
Puneet Souda: Got it. Yes that's super helpful. And then just a brief follow-up Masoud, on neurology, when you look at the overall landscape, specifically with maybe with Alzheimer's diagnostics. I mean, we're seeing a number of questions being raised about CMS and the pair's and what value do they ascribe to some of these drugs? When you sort of step back and look at the broader landscape, obviously great to see the Lilly agreement that you have here, but Maybe tell us about the sort of the pipeline there for interest for pTau-181 to 17 [indiscernible] and other overall from the biopharma and the drug developers that are looking at this Alzheimer's growing that Alzheimer's landscape?
Masoud Toloue: Sure, absolutely. I think the -- when you look at I said a little earlier with Kyle on the phone, I think you look at some of these single biomarkers in neurology, and you see this large, you know, screening opportunity, and this whole approach of, you know, decentralized testing, as opposed to having to go to a clinic and get do imaging. So, fundamentally, we think the principle of doing this with a blood test makes a lot of sense.  And then, when you look at the overall sort of neuro market, where we are, you see, Biogen with what they've done with ADUHELM and then Lilly coming here, I think a lot of this is going to be on the clinical trials and a lot of the work that we're doing this announcement with Lilly, obviously, we're going to be close -- we're working with them through the accelerator laboratory and, and identifying, key aspects of the of the biomarker.  And then from there, it's going to become, hey, is this a screening opportunity and an LDC lab. So you can't just have one without the other, you sort of have to have the three steps that are described. And, we're very fortunate to be positioned to have all three.
Kevin Hrusovsky: I would also add something Masoud common here, and that is that you see different roles for these possibility related pTaus like the 217 has, we think potential for a greater dynamic range and more specificity, where the 181 where we have the already breakthrough designation.  There's some comorbidity challenges where it isn't quite as specific, potentially as what a 217 can be. We also see evidence that that potentially 217 and what we're going to J&J as well. And you've seen some publications on 217 news. Even the J&J antibody pair is still showing a lot of potential even earlier, opportunity to see greater specificity.  And now, there's a 231. It's coming as well, there's a lot of new publication work from Henrik that has many of our Samoas Henrik Zetterberg, that it might even allow you to see the pathology even earlier. So there are these different types of biomarkers that when you put them into a Plex give you different shots on goal of seeing Alzheimer's in different levels and different time horizons in the overall pathology.  And I think this is where our sensitivity gives us the versatility to get at all those markers. And in the end, we think that that sensitivity is key to being able to get to the piano. And so that’s why I would say that keep an eye out on ROU product development, because it could inform around what ultimately might play out in the diagnostic landscape. 
Puneet Souda: Got it. All right. Thanks, guys. It's super helpful.
Operator: Thank you. Next question comes from the line of Sung Ji Nam of BTIG. Your line is open.
Sung Ji Nam: Hi, thanks for taking the questions. And congratulations on many funds. Just have two quick ones. First of all, were the accelerator Do you have sufficient capacity currently to accommodate all the growth opportunities over the next year over the next couple of years?
Kevin Hrusovsky: Yes, I think this has been an area that Masoud has focused on when he's come in. And overall, we absolutely believe this is a very scalable area of our company, I would say in 2021, it was probably challenged that we had so much product growth, that we didn't have the bandwidth to really accommodate the level of accelerated growth without Masoud’s leadership. That was a key hire for us. And Masoud, you might want to comment, looking forward on how you view the accelerator capacity.
Masoud Toloue: Thanks, Kevin. And, yes, Sung ji, the way we look at it in '21, there was an opportunity for us to grow that capacity. And then with that capacity, obviously, we're going to be interested in taking more incoming opportunities. And, we want to be able to scale that with the growth that we have. And I think we're going to continue and try to not let capacity be an inhibitor for us.
Sung Ji Nam: Got you. Thank you. And then obviously realizing that you have significant opportunities still for your products as well as for single site IBD and LDT programs. For the current partnership with Abbott and Siemens as well as with United Healthcare, just curious if there are certain interim milestones that we should we could look forward to, or we should be paying attention to over the next few years?
Kevin Hrusovsky: Yes, I actually would say that those relationships, particularly with Abbott, and Siemens, Siemens is around NFL, and they are clearly advancing our NFL opportunity from an IBD perspective, and that ultimately could play a very valuable role for us, even in a panel. Where NFL is included, for ailments beyond MS.  And I think initially, Siemens was focused primarily on MS and NFL. And then Abbott has a non-explosives license to use the Samoa technology. And so I think their interest is how do they take their installed base, and could they do any kind of an upgrade to give the sensitivity that is Samoa brings, but keep the distribution opportunity that they have with a large installed base.  And I would say that there's nothing immediate there that you should look to as a milestone, but it is a very productive relationship and gives us more validation that Samoa does bring value to and Samoa sensitivity brings value to the traditional single Plex, distributed IBD market that ultimately -- I don't see Abbott becoming multiplex in the short term, I see them primarily single Plex. But the sensitivity of single Plex is something that could be very valuable to them, particularly around troponin and some of the markers that they have strong positions in.
Sung Ji Nam: Great, thank you so much.
Operator: Next question comes from the line of Max Masucci of Cowen and Co. Your line is open.
Max Masucci: Hey, thanks for taking the questions. I want to first congratulate Kevin on what's just been a fantastic transformation for Quanterix under your leadership. And also congrats to Masoud for taking the reins. So kicking off -- I’ll keep these brief. Yes, other than the 11 million in accelerator revenues, can you just share whether the remaining structure of the agreement with Lilly is more milestone based are there any revenue or cost sharing components? 
Kevin Hrusovsky: Yes, we aren't disclosing, but I would say it's minor, from the standpoint that we license from them, their antibody pair, and that antibody pair is highly sought after as many commented, it was on the front, it was on -- in Wall Street Journal and USA Today in Bloomberg back about 18 months ago, seemed dementia 15 years before Alzheimer's and dementia and Alzheimer's 15 years before dementia. So we know that that antibody pair highly sought after we licensed it from them, it's a minor level of investment from us to them, primarily because our relationship is so strong, and they are very much advocates to try to move the industry.  So they see what we did with NFL and creating a global standard where you have one NFL test that now is used comparatively across all publications, their interest would be for us to work with them to do something similar for the pTau-217 because you know there are different antibody approaches today. And we would like to work with them and create the quality standards that they have incredible levels of commitment to jointly launch at some point here in RUO product that jointly utilizes their quality insights and know how it would be our product, but they would allow that to be sold to other pharma.  So I do think that this is an important advance that gives a lot of interest to the way Lilly is approaching this so there's minor financial implications other than 11 million and that is something that can be ongoing as well and I do think that they have bought a lot of instruments probably will continue buying instruments, as well as products. So this, 11 million doesn't include any of those additional sales that they've been very robust with us over the last year or two. And we expect that to continue as well. 
Max Masucci: That makes sense and maybe can just give us a bit more detail around, the demand you're seeing from this CROs, how the quest and LabCorp of the world fit into the longer term strategy and whether you see the accelerator lab or your relationship with CROs just being a bigger driver of participating in a wider range of neuro trials during 2022?
Kevin Hrusovsky: Yes, absolutely, Max. And thanks, again, for your comments. You've also been incredibly helpful as all of the analysts that are been on this call Sung Ji and Tyco all of you've been and Kyle, very supportive of us over the years. And really, we're going to continue this, it's going to be the next chapter of Quanterix. But, in general, we're going to continue to evolve the productive output. Max, could you just read comment on that question? 
Max Masucci: Yes, definitely. Just curious how that the Quest LabCorp of the world comes back. And appreciate the color.
Kevin Hrusovsky: I am sorry. Hey Max, the LabCorp and Quest very significant, they both got large installed base with us. Frontage is another CRO, interestingly, Quest, through there are CRO arm, but rules based medicine and Ralph McCade, who was actually the founder of Luminax and was their Chief Technology Officer for many years, was the CEO of rule space medicine, they spun it out. He's to this day been one of our largest customers. And so we do think that the CROs is a very strong cooperation with them.  Now, the question I think, becomes how does a CRO evolved into an LDT, we've not granted any LDT licenses as we speak, to allow that to evolve. And we also think that Mayo Clinic, and there's many places where there's opportunities for us to team up and build as larger infrastructures sooner if needed for the overall opportunity and Alzheimer's on an LDG front and even single site. LDT or single site IBD, there are opportunities to have multiple sites in a single site IBD with the FDA. And what that does for us is it gives us if we get this approval would give us dual coverage of the regulatory approval plus the national coverage. And that gives some reimbursement opportunity. So we will absolutely continue to watch at those companies as potential partners. And what we do in our accelerator today, we actually sometimes get business from them, where they need us to be a swing capacity to support trials, because there's a lot of demand right now on them for trials using a smaller technology.  So we see those cooperative relationships only increasing as time goes on. This is to take down Alzheimer's, which is our big goal to help do that, as well as cancers and cardiac. We feel like it does take a village and that's why the ecosystem of PPH allows us to cooperate and collaborate across all of these different boundaries, to enable partnerships to expand and accelerate the potential of scaling this worldwide. And we think that scaling, the ability to see disease before symptoms, non-invasively is probably one of the biggest ideas to transform medicine that has come around for quite a while.  So our founder is David Walt, one of the premier luminaries who also founded Illumina, having him as well on our Board and given us a lot of perspective and insights around how to disrupt medicine is really sits very, very well, with all of the co-operations and LabCorp and Quest are very central to that. 
Max Masucci: Great, well, congrats on four consecutive fantastic years in the public arena and looking forward to the next chapter. 
Operator: Thank you. Our next question comes from the line of David Dallahan [ph] of Goldman Sachs. Your line is open.
Unidentified Analyst : Can you hear me? 
Kevin Hrusovsky: Yes, we can. 
Unidentified Analyst : Oh, sorry about that. Congrats on the succession in the quarter. I just wanted to ask about the decision point for pharma companies with Lilly doing in house and accelerator? As you kind of continue these partnerships and grow on the pharma side, do you expect it to be kind of split between in house find their own your instruments? And accelerator, do you expect them to go into one area the other? Just would love to hear your thoughts on that.
Kevin Hrusovsky: Absolutely. And we mentioned, there has been a lot of top talent recruited, we just brought in also a new Chief Commercial Officer, Darren, we actually think that a lot of the secret size here is selling to the senior levels of pharma, which the investors themselves have helped us with. And we shared the letter today in our call, that we're asking investors to reach out to anyone that you have ownership positions, and Murrow that you're trying to get those chunks approved for your value creation, you can help us educate those pharmas to utilize our technology.  And we do think that there's a rule for both in house and accelerators. Sometimes, we have customers, pharmas, that will buy several units in house, and they'll rely on us for assay development. And so relationships around expanding the biomarkers that they utilize in drug trials either for efficient recruitment of more enhanced cohorts, or for the actual endpoints, as we've seen in MS for NFL, either one of those categories, plays a big role of pharma and many times they will run a run those trials in house.  I remember one year in Novartis bought Genoptix and turned it into navigate. And we had three years ago significant NFL sales where they bought and used their in house systems by buying a diagnostics company to evolve that. We actually see Lilly being incredibly capable and diagnostic some of the personnel that we've met with over there has been just really insightful and advanced and experienced.  And I think the more that Pharma has some diagnostics, presence in house, it further can increase the pace of their approvals, but longer term, the key here is getting payment and reimbursement and the more they can link biomarkers with the payers, the better chance I think they're going to get for reimbursement. So I do think you'll see both in house as well as pharma navigating our accelerator relationship opportunities.
Unidentified Analyst : Great. That's really helpful, Kevin. And then just kind of similar to Max question CROs I thought was really interesting, the United Healthcare relationship you have, can you just talk about, where you see the market opportunity for payers and working with payers going forward?
Kevin Hrusovsky: I think that the payers are at the top of the value chain in many respects, their goal is to improve life expectancy, but do it efficiently. So better outcomes, more efficient outcomes is their goal. And so we started to really form our United Health Group relationship over COVID, where they were intrigued by the fact that we could see COVID before symptoms, which is when COVID was most contagious. And that then led, them discovering us and utilizing us for some of their COVID work with actual drug bloodspot type testing that evolved them at the NIH into discovering us and RADx program, and given us the 20 millions have further evolved this.  So I think that I have a slide in previous decks that shows the relationship with payers. Some of it is already, I think, actionable today for areas like MS, where we know that there's biomarkers that can reveal MS earlier and can reveal whether a drug is being efficacious earlier, then an MRI is key. And it can be done less, much less expensive. And getting an MS patient on the right drug is the difference between them dying, standing up versus dying in a wheelchair.  So they know that there's some actionable biomarkers today COVID would be another one. But then there's another category where there's the opportunity where we might have a disease that they know is very lethal and expensive, like pancreatic cancer, or breast cancer, that there's not sufficient biomarkers to reveal it early enough for there to be good therapies. And so that is an area where biomarker research with the payers is important.  And then finally, we think that the payers themselves are getting creative with pharma in running trials, like in Alzheimer's if they can use their membership to participate in a trial before dementia occurs, that could further create a [indiscernible] in the drug trials. And so we see all three of those categories being an important area of focus. And I think Aetna, as well as even CMS is an area that Masoud and the execution side of our company is really building out, planning to utilize moving forward.
Unidentified Analyst : Great, really appreciate the time. Thanks guys. 
Operator: Thank you. There are no further question at this time. And I would like to turn the call over to Kevin for closing remarks.
Kevin Hrusovsky: Thank you very much. And I would say our last slide is basically the visionary slide that we think that the concept of biomarkers non-invasive ways to measure chemistries and blood, coupled with wearable devices is the long-term opportunity to not only create better therapy, and intercept disease early, but someday to even prevent the disease by better managing your environmental factors.  So we see biomarkers and wearables someday being the longer term opportunity. Masoud and I are very LinkedIn on the longer term prospects for how to create value. And a company like this that we think has tremendous potential.  We feel like we're sitting in a platform type of position right now for future expansion and with Masoud’s, very capable leadership and me working very closely with him across all the constituencies, we're really very optimistic about the future, we want to thank everybody for your support and help. And I want to close by just thanking the employees of Quanterix.  People is what makes these companies tick and culture and making sure that the people that make the get the job done and move the needle, feel great about what they do, and the impact they can make on the world is a lot of what the people of Quanterix represents and that passion is what a lot of what leads to the kind of progress points that we have. So that's the secret size of any great company is its people and I just want to end by congratulating thanking our team for all that they do to take down Alzheimer's and someday cancers and heart disease. So thank you very much, and we'll talk to you in our next conference call.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating, you may now disconnect. Have a great day.